Operator: Good day, ladies and gentlemen and welcome to the Universal Stainless Second Quarter 2017 Conference Call and Webcast. At this time, all participants are in a listen-only mode. Later we'll conduct a question-and-answer session and instructions will follow at that time [Operator Instructions]. As a reminder, this conference call is being recorded. I would now like to turn the conference over to Miss, June Filingeri. Ma'am, you may begin.
June Filingeri: Thank you, Andrew. Good morning. This is June Filingeri of Comm-Partners and I'm very pleased to welcome you to the Universal Stainless conference call and webcast. We are here to discuss the company's second quarter 2017 results reported this morning. With us from management are Denny Oates, Chairman, President and Chief Executive Officer and Larry Pollock, Executive Vice President and Chief Manufacturing Officer; Chris Zimmer, Executive Vice President and Chief Commercial Officer; Paul McGrath, Vice President of Administration and General Counsel and Ross Wilkins, Vice President, Finance, Chief Financial Officer and Treasurer. Before I turn the call over to management, let me quickly review procedures. After management has made formal remarks, we will take your questions. Our conference coordinator Andrew will instruct you on our procedures at that time. Also, please note that in this morning's call, management will make forward-looking statements under the Private Securities Litigation Reform Act of 1995, I would like to remind you of the risks related to these statements, which are more fully described in today's press release and in the company's filings with the Securities and Exchange Commission. With these formalities complete, I would now like to turn the call over to Denny Oates. Denny, we're ready to begin.
Denny Oates: Thanks, June. Good morning, everyone. Thanks for joining us here today. The broad based recovery that began for Universal in the first quarter of 2017 continued to show traction in the second quarter. With business and plant activity levels clearly improved. As a result, we saw a strong sequential and year-over-year growth in our top line which included record premium alloy sales combined with a significant improvement in our gross margin from the first quarter leading to a decisive return to bottom line profitability and noteworthy growth in our EBITDA. Let me drill down in our second quarter performance with some additional details. Second quarter sales totaled $52.6 million an increase of 7.6% sequentially and up 28.2% compared with the second quarter of 2016. This brings year-to-date sales to $101.5 million up 25.9% from the same period last year. Sales of premium alloys reached $6.8 million or 12.9% of sales topping a previous quarterly record of $5.8 million or 11.9% of total sales, which was set in the first quarter of 2017. Order backlog before surcharges of $63.5 million grew 11% compared to March 2017 and stand at 65% greater than June of 2016 which bodes well for the normally seasonally slow second half. Order entry so far in July is been stronger than normal seasonal expectations. Gross margin made a sizable move up in the second quarter to 13.6% of sales, the highest level obtained since 2014 as we benefited from the sell-through of products manufactured in higher activity months that started in January, coupled with manufacturing productivity savings in a more favorable product mix. We see opportunities for additional margin improvement in coming quarters, although obviously don't expect as dramatic move, as a sequential improvement in the second quarter. With a recovery in our margin net income in the second quarter showing to a positive $1.2 million or $0.17 per diluted share from an equal size loss in the first quarter enabling us to reach breakeven for the first half. And other indicator of our much improved profitability, second quarter EBITDA was up 74% sequentially and up 69% from the second quarter of 2016. As a result, we're on track with our plan to deliver further progress in the second half of the year. There are some additional factors supporting a positive outlook through the second half. Price increases announced in Q1 for stainless and low alloy products began to take effect this month. Commodity prices have been somewhat volatile but nothing like the experience of 2015 and 2016. While nickel did fall from $5 per pound to $4.05 per pound during the first half, other key commodities increased. Nickel has since rallied [ph] in July to about $4.50 per pound. Therefore our surcharges will be modestly lower in July and August probably recovering to June levels by September. We do not anticipate any meaningful distortion in buying patterns or misalignment in material cost and surcharges. Another positive is that, we won a total of five more customer approvals in the second quarter. Four for major aerospace OEMs and one for major energy services company. There are also two additional premium products commercialized during the quarter. Our pipeline remained strong with 15 products currently under development. Plant activity levels continue to run high. We expect to run at a rate similar to the second quarter which represents a 33% increase over 2016's third quarter production levels. As we noted last time, higher plant volumes not only generate favorable operating leverage on product cost. They also enable added variable cost savings from improvement initiatives both completed and currently underway. Another potential positive rest [ph] with a final outcome with the Commerce Department Section 232 investigation and whether Commerce will find that US National Security is threatened by steel imports. How this will all play out is uncertain? But we are confident that some actions will be taken this year to address the subject of unfair trade in steel and the chronic issue of excess global steel capacity. Let me take a minute and note two developments on the corporate front during the second quarter. First, we were successful in achieving an early labor agreement at our Dunkirk facility. The new five-year agreement maintains the flexible work rule terms and profit sharing incentives contained in the prior agreement. Separately, as most of you know we received unsolicited offer from Synalloy Corporation for proposed business combination. In response we announced on June 29, that after deliberation and careful consultation with independent financial and legal advisors our board unanimously rejected the offers having no merit for the stockholders of Universal either financial or strategic. And that there was no basis for further discussions. We sincerely appreciate the strong support we received from the many investors we spoke with about our decisions. Let me take a few minutes and turn to our end market starting with aerospace, our largest market. Aerospace sales totaled $29 million in the second quarter of 2017 representing 55% of quarterly sales. Aerospace sales increased 8.6% sequentially and 10.3% from the second quarter of 2016. Our continued growth in aerospace reflects positive industry trends along with the addition of the premium alloy products that we developed and won approval for over the past several years. Aerospace market fundamentals as well as supplier channel demand are being driven by continued strong build rates and backlogs at Boeing and Airbus currently estimated at seven to nine years of production depending on whose numbers you want to use. The market got additional boost from [indiscernible] where orders were more robust than expected and I personally want to say the environment was much more positive in recent years. Boeing posted orders for 571 aircraft including orders for well received launch of the 737 MAX 10 which drew 147 new orders along with 214 conversions. Airbus also booked another 326 airplanes. The engine manufacturers were also active at the Paris Air Show for example GE and its joint venture companies led by CFM, announced $31 billion in orders and commitments at the show. Rolls Royce booked $15.1 million, in fact continued to add to their backlog. The ongoing strength and demand for air travel is evidenced in the most recent release from IATA; The International Airport Transport Association for May that reported global traffic was up 7.7% year-over-year. The growth of revenue passenger miles continues to be above expectations this year, which is driving aftermarket demand. This is another source of good news for the metal supply chain and for Universal. It's also worth noting the IATA reported that air freight traffic increased 13%, May versus last year. Another sign of the increase in economic activity and further aftermarket demand. We're also seeing building momentum in the defense sector. So we remain as positive as ever about the aerospace opportunity for Universal. Business is picked up. Customer inventories are generally imbalanced and the market remains healthy overall. The heavy equipment market remained our second largest market in the second quarter representing 17% of total sales compared with 16% in the first quarter and 11% in the second quarter of 2016. Heavy equipment sales totaled $8.9 million in the second quarter and increased to 16% from the first quarter of 2017 and double our level in the second quarter of 2016. Our tool steel plate sales are the main component of this heavy equipment category and they're continuing to be driven by strong domestic demand resulting from solid vehicle production numbers albeit 2% to 3% lower than 2016 and a very healthy clip of automotive model changeovers. Also driving demand growth is heightened activity for heavy off-road equipment makers such as Caterpillar which reported a second consecutive quarter of improving demand and an upbeat outlook for the second half. In fact the recent survey of construction equipment makers by Wall Street Analyst indicated that market supply conditions are tightening and late times are extending because of that activity and low inventories. Universal is benefitting from this ramp coupled with a shorter [ph] lead times we can offer as a domestic supplier. The oil and gas end market represent 9% in the second quarter 2017 sales compared with 10% in the first quarter and 7% the year ago second quarter. Our oil and gas sales totaled $4.8 million in the 2017 second quarter essentially level with the first quarter and 70% ahead of the second quarter, 2016. While demand was flat in the most recent quarter, there has been substantial improvement for us and for the market since last year with land-based drilling activity up. Rig counts continue to increase and channel inventories continuing to be work down. We expect slow, steady recovery in the market along with greater acceptance of new products we've introduced in recent years. The power generation market representing 9% of second quarter sales in line with the first quarter of 2017 and compared with 8% in the 2016 second quarter. The power generation sales totaled $4.8 million in the second quarter up 13% sequentially and up 39% from the second quarter of 2016. Our power gen sales was picked up in the second quarter continued to be largely driven by the maintenance business and as noted last quarter, that business is benefiting from the continued move financial gas as the fuel of choice, I [ph] recall. On the new builds front, on prior GE reported receiving nine orders for its HA gas turbine bringing its backlog to 33 units. This gas turbine is world's largest high efficiency turbines. GE is also the world's largest supplier of gas turbines overall. And how many of their new turbines they decided to build in the US will be an important factor and the return of the new build market, to the metals community. In the meantime, we will focus on the maintenance market opportunity as installed turbines are continuing to work at higher activity levels. Rounding up my end market review, our general industrial market sales were 9% of sales versus 10% in the 2017 first quarter and 7% of sales in the second quarter of 2016. Second quarter general industrial sales totaled $4.6 million which was slightly lower than the first quarter but up 56% from the second quarter last year. As mentioned last time, we've developed several new products to increase our participation in infrastructure related projects and business development activities for domestic manufacturing. We continue to expect growth in this market to continue in 2018 subject to normal project seasonality. Any federal infrastructure will be an added plus. Let's take a few minutes to look at the financials. Ross.
Ross Wilkins: Thank you, Denny. As Denny already noted, second quarter 2017 sales of $52.6 million were up 7.6% sequentially and up 28.2% compared with the second quarter of 2016. For the first six months of 2017, sales of $101.5 million were up 25.9% compared with the first half of 2016. The increase was broad based with all end markets contributing to the increase versus prior year both for the second quarter and for the first half as a whole. Gross margin in the second quarter was $7.2 million or 13.6% of sales up almost 500 basis points from the first quarter of 2017 and up 300 basis points from the second quarter of 2016. It is the highest level achieved in the past 10 quarters. The improvement in gross margin was driven primarily by the realization of manufacturing productivity initiatives, improved operating leverage and a more favorable product mix. Looking at selling, general and administrative cost. For the second quarter, SG&A was $4.5 million or 8.6% of sales and a reduction of $200,000 compared with the first quarter of 2017 and a $100,000 lower compared to the second quarter of 2016. Our year-to-date tax rate is high at 92.5% reflecting the impact of $85,000 income tax expense associated with adopting the new accounting rules related to stock-based compensation under the previous rules, this amount would have gone to the balance sheet. We expect our full year income tax rate to be approximately 30%. Bottom line net income in the second quarter was $1.2 million or $0.17 per diluted share, a $0.34 per diluted share improvement compared with the $1.2 million loss or $0.17 per diluted share in the first quarter of 2017. Year-to-date 2017, we're breakeven at net income significantly improved from the loss of $3.2 million or $0.45 per diluted share in the first half of 2016. Looking at EBITDA, second quarter EBITDA was $7.3 million, an increase of $3.1 million or 74% sequentially and an increase of $3 million or 69% compared with the second quarter of 2016. Adjusting for non-cash share comp expense EBITDA was $7.7 million for the second quarter. EBITDA and adjusted EBITDA calculations are provided in the tables to the press release. Turning our attention to the balance sheet. During the second quarter managed working capital of $100 million increased by $7.9 million compared with the first quarter of 2017 and is consistent with business activity. Accounts receivable increased by $3 million and inventory increased by $4.8 million. Accounts payable were flat. The increase in inventory is in direct support of higher backlog which grew by $6.4 million during the quarter and the increase in accounts receivable is directly attributable to the higher sales activity in the second quarter. Despite the increase in working capital, overall managed working capital efficiency as measured by taking working capital as a percent of annualized second quarter sales was 47.5%. And thus maintain the improvement realized in the first quarter. It continues to be the best that has been in the last five years. Capital expenditures for the second quarter were $1.7 million marginally higher than the $1.4 million in the first quarter of 2017 and up from the prior year second quarter level which was $900,000. For full year 2017, we expect CapEx to be in the $7 million to $9 million range down from the previous range of $8 million to $10 million reflecting more selective capital spending across the business as a whole. As you'll note, capital expenditures continue to be less than our ongoing depreciation and amortization expense which is $18.5 million annualized reflecting the fact that we largely have the assets in place from investments previously made to support the growth in the business. Total debt was $77.7 million as of March 31, 2017. An increase of $3.2 million compared with the end of the first quarter driven primarily by working capital increases noted earlier. Despite the higher debt borrowing availability under our credit facility at the end of the second quarter expanded to $28 million a record high since entering the credit facility 18 months ago. Included in the increased availability is $5 million that our bank group released to us during the second quarter based upon our improved financial results since entering into the credit agreement. From an interest rate standpoint, with the companies higher profitability in the second quarter, our senior debt leverage ratio improved to 2.7 times thus qualifying us for 25 basis point reduction in its interest rate effective immediately. This is the second such interest rate reduction in the last six months and applies to all senior debt. Lastly, we remain in compliance with all our covenants under the bank credit facility at the end of the second quarter and we anticipate remaining in compliance going forward for the foreseeable future. This concludes my financial report. Denny I'll turn the call back to you.
Denny Oates: Thanks Ross. Let me summarize. Recovery that began for Universal in the first quarter of 2017 continued in the second quarter. It was reflected in strong sequential and year-over-year sales growth including record premium alloy sales along with a sizable move up in our gross margin all leading to a decisive return to bottom line profitability and substantial growth in our EBITDA. We've entered the third quarter with 11% higher backlog, price increases taking effect, added customer approvals, more commercialized products and high plane activity levels that are adding to operating leverage and variable cost savings. Our end markets are generally moving forward including our largest aerospace. To reiterate my statement in today's earnings release. As we enter the third quarter in second half of the year. Business conditions and demand remain positive with continued strength in our order entry and backlog. That concludes our formal remarks. Andrew, let's take some question from our callers.
Operator: [Operator Instructions] and our first question comes from Michael Gallo with C.L. King. Your line is now open.
Michael Gallo: Couple questions. I guess from just to sort of characterize your remark, I mean it seems like business momentum is continued you're going to get the benefit of the price increases you're starting to come through in the third quarter. You'll have a little bit less surcharge, well I'm just trying to parse all of that together. Would you expect on a sequential basis that Q3 will look like Q2? Or do you still expect the gross margins to improve sequentially as you get the benefit of pricing?
Denny Oates: I would expect the modest improvement in margin mid-teens kind of number. And as far as the sales, I think it will a bit of anomaly on the, the normal seasonal trend is the third quarter second half usually slower than the first half and usually the first half by quarter, the fourth quarter is the weakest from a sale standpoint. Third quarter is second weakest and from a booking standpoint, you start to see orders trail off mid third quarter anticipating a slower fourth quarter. If you look at our backlog in the trend and bookings, I suspect that the third quarter sales numbers are going to be at or slightly above where we are in the second quarter. So modest improvement [indiscernible] mid-teen kind of margin would be my best estimate right now.
Michael Gallo: So you still think, you'll be able to increase the sale sequentially even though you'll have less surcharge?
Denny Oates: Yes.
Michael Gallo: All right. Okay. And in terms of what you have planned further CapEx opportunities I know you've been thinking about automation project at Dunkirk, update us on some of the other initiatives and how you think, you can get more efficient from a manufacturing standpoint. Thanks.
Denny Oates: Well the one capital you mentioned up at Dunkirk is something that was essentially approved by our board contingent fund getting a labor contract in place, now that labor contract in place, so that's a transaction about $8 to $9 million investment, that would begin in the fourth quarter, so you won't see much of that capital in Ross's numbers that he quoted earlier, that'll be mostly 2018 investment with a benefit starting to flow in the latter part of 2018 and 2019. So that would be a significant improvement to our quality, our cost and our throughput on finished power products. There were other opportunities for capital that we're looking at, we're coming out of the period where we were very tight with capital, our focus was on generating cash and paying down debt. So I think on the next call, we'll have more to say on this subject but there are opportunities to make significant improvements in our melt shops. The whole subject of the digital world and getting better control of our facilities is something that will become a bigger part of our investments over the next couple of years. Being able to get access to equipment is operating and have equipment talking to equipment, will give us tighter control over things, less variability on our manufacturing shop which will lead to higher quality, better yields and lower cost. So that's kind of directionally where we're headed. But we're not prepared to announce any larger investments beyond the Dunkirk thing.
Michael Gallo: Thank you very much.
Operator: [Operator Instructions] our next question comes from Phil Gibbs with KeyBanc Capital Markets. Your line is now open.
Phil Gibbs: Had a question on the net working capital. I think you said managed working capital was 47.5% of sales in the quarter. Do you have any tactical targets in terms of where you think that could be over the next 12 months and do you also have strategic targets in terms of where you think, you want to get that over the next three to five years?
Denny Oates: If you look at the work in process inventory itself, excluding raw materials, you look at the next couple quarters, you should see those numbers come down. If you look at the next quarter somewhere in the range of $2 million, $4 million. Fourth quarter flat and I'm saying flat because it really is the function of how business is, as we look at the first quarter normally you start to ramp up a little bit of inventory through the tail end of the year. But fundamentally from a financial standpoint, our inventories are around so strategically our long-term growth, our long-term plan is to get that number up towards three, which is a challenging target but that's our long-term strategic goal there. Right now we're running $2.1 million.
Phil Gibbs: So the work in process inventory is really the biggest driver to getting that percentage down over the long-term, is that [indiscernible]?
Denny Oates: Yes, I think we do a decent job managing our payables and our receivables there is no real big issues there in terms of pulling those in a significant amount. The real issue is going to be getting things manufactured, getting higher percentage done the first time and getting things moving through the shop and I would just remind you that we're still on development mode on lot of these alloys, so we're still carrying somewhere in the range of $6 million plus of material that I would characterize as experimental test type R&D material, that is kind of there. It's good material to sell at some point in time, but we need some approvals and further work before we can move that into the marketplace. And if you recall from a couple years ago, we're up around $13 million on that number.
Phil Gibbs: Okay. The heavy equipment piece, I think you said 17% of sales, is that largely the tools deal, plate business.
Denny Oates: Majority of its tool steel plate. Yes.
Phil Gibbs: And you mentioned at the off road pieces getting better and clearly we're seeing that with some of the results from [indiscernible]. How big in relation to that heavy equipment side is the auto piece versus the off road piece?
Denny Oates: It's one of those numbers, it's hard for me to give you a real specific answer because every pound that we sell goes to distribution, so we can't get the visibility. So I'm quoting the, when I look at what drives that business it's primarily automotive followed by the off road, followed by cutlery and things like that, but a basic metal fabrication anywhere you need to cut metal so to speak, you're going to see that use. So as a manufacturing sector and the economy picks up, you should see growth there, but I can't give you a specific percent on automotive. Generically, I don't think anybody can quite frankly. But generically studies I've seen over the years, generally stated that two-thirds of tool steel produced in the US goes in the automotive market. Whereas driven by the automotive market.
Phil Gibbs: Well that's helpful. Makes sense too. Because auto is a bigger market, broadly speaking. On the side of electrodes, there is a lot of talk that electrodes are poised to go up right now, a lot I mean they're really tight globally given what we're seeing out of China and the increase in EAF production this year in general. How big is that normally in terms of your call it cost to sales or cost to production?
Denny Oates: If you take a look at situational electrodes for those of you, who don't know is, there is some issues where right now we have trouble getting price quotes out in 2018. Due to new batteries that are being produced demand for some of the raw materials that go into electrodes is up, therefore pricing has gotten tight. We are covered in terms of what we require in the price through the first quarter of 2018. But beyond that, there is a lot of churn in the marketplace, so I honestly can't tell you, what that price would be. The price has been $1 to $1.50 per pound you hear numbers floating around $2 to $3 per pound, so I cannot - that's the best I can tell you. Phil I can't give you any hard numbers on that. Obviously that's a big number, if that were to go up, that would probably hit us in the tune of about $500,000 a year. Somewhere in that range. So it's a significant number, it's something we're watching very carefully. We're working with our suppliers to make sure that we've got a hard supply and the latest I have as in this morning that we'll get some price quotes in the month of August, but right now they're not even quoting beyond first quarter.
Phil Gibbs: That's really helpful and last question for me, for now is on the SG&A. obviously a lot of good work there in terms of maintaining on an absolute basis, at OpEx level sequentially in year-on-year, but your business is getting better, profits are getting better. Are you expecting, are you expecting some upward migration or little bit creep to that SG&A number just as the incentives improve, are you able to hold this line?
Denny Oates: If the year continues as projected, you'll see some increase in SG&A. [Indiscernible] it will be variable compensation and there maybe some additional legal fees related to the whole trade issues as we go through the second half of the year.
Phil Gibbs: So between 4.5 and 5 is good.
Denny Oates: Yes.
Phil Gibbs: In terms of good base.
Denny Oates: Yes.
Phil Gibbs: Thanks a lot.
Operator: [Operator Instructions] and I'm showing no further questions at this time. I would now like to turn the call back to Mr. Oates for any further remarks.
Denny Oates: Thanks, Andrew. Once again, let me thank you for joining us this morning. We sincerely appreciate your support and your interest in Universal Stainless. We'll look forward to updating you on our progress [indiscernible] next call, which will be at October. Have a great day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program. You may all disconnect. Everyone have a great day.